Operator: Good morning, and welcome to the Olympic Steel 2024 third quarter financial results conference call. At this time, all participants are in a listen-only mode. A question and answer session will follow the formal presentation. If anyone should require operator assistance, please press star zero on your telephone keypad. As a reminder, this call is being recorded. At this time, I would like to hand the conference call over to Rich Hanson, Chief Financial Officer at Olympic Steel. Please go ahead, sir.
Richard Manson: Thank you, operator. Welcome to Olympic Steel's earnings call for the third quarter of 2024. Our call this morning will be hosted by our Chief Executive Officer, Rick Marabito, and we will also be joined by our President and Chief Operating Officer, Andrew Greiff. Before we begin, I have a few reminders. Some statements made on today's call will be predictive and are intended to be made as forward-looking within the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995 and may not reflect the actual results. The company does not undertake to update such statements, changes, and assumptions or changes in other factors affecting such forward-looking statements. Important assumptions, risks, uncertainties, and other factors that could cause actual results to differ materially are set forth in the company's reports on Forms 10-K and 10-Q and the press releases filed with the Securities and Exchange Commission. During today's discussion, we may refer to adjusted net income per diluted share, EBITDA, and adjusted EBITDA, which are all non-GAAP financial measures. A reconciliation of these non-GAAP measures to the most directly comparable GAAP financial measures is provided in the press release that was issued last night and can be found on our website. Today's live broadcast will be archived and available for replay on Olympic Steel's website. At this time, I'll turn the call over to Rick.
Rick Marabito: Thank you, Rich, and good morning, everyone. Thank you for joining us today to discuss Olympic Steel's 2024 third quarter results. I'll begin by summarizing our results for the third quarter. Then I'll review how our strategies for diversification and overall focus on investing in and expanding in our higher margin opportunities are helping to drive results in difficult markets. Andrew will then review our segment performance and highlight our CapEx growth initiatives. Following that, Rich will discuss our financial results in more detail. And then, as always, we will open the call up for your questions. Challenging macroeconomic trends during the third quarter resulted in lower overall OEM demand, particularly in the heavy equipment sector, which is a significant end market for Olympic Steel. Reduced demand resulted in carbon pricing pressures that affected both our carbon flat-rolled and pipe and tube segments. Additionally, stainless steel surcharges fell during the quarter, creating pricing pressure in our specialty metals segment. Despite these market headwinds, Olympic Steel has demonstrated continued resilience. All three segments were EBITDA positive for the third quarter of 2024, generating $15 million of EBITDA and $470 million of sales. The results reflect the success of our strategy to diversify into countercyclical steel-intensive end products and invest in higher margin opportunities such as flat-rolled coated products and the expansion of our fabrication capabilities. Given the ongoing uncertainty in the political and macroeconomic environment, our team is working diligently to manage costs and build efficiencies into our business. This includes investing in new equipment, automation, and processing capabilities that will drive safety, efficiency, productivity, and future growth. We are closely managing our operating expenses and aligning our labor costs with customer demand. We believe the success of our acquisitions and capital investment in key organic growth areas has created a stronger, more resilient Olympic Steel. We are well-positioned to continue to invest in these initiatives. Andrew will review recent equipment investments in a moment, and we remain active in our pursuit of acquisitions that meet our success criteria. During the third quarter, we reduced our debt by approximately $12 million to $197 million, and we entered the fourth quarter with approximately $304 million of credit availability to fund these growth initiatives. Looking to the fourth quarter of 2024, we expect the macroeconomic headwinds to continue while we await the outcome of the presidential election and the Fed's direction on future interest rate cuts. We remain optimistic for the long-term outlook for Olympic Steel and our industry. We are confident that our strategy, combined with our financial flexibility to continue investing in organic and acquisitive growth opportunities, will make us even more resilient and create additional value for our shareholders. Now, I'll turn the call over to Andrew for his comments on our segment performance.
Andrew Greiff: Thank you, Rick, and good morning, everyone. As Rick discussed, all three business segments were EBITDA positive during the third quarter, even as we continue to experience significant industry-wide headwinds. Our sustained profitability is a testament to the strategies we have in place: diversification, operational efficiency, enriched product mix, and expansion of our fabrication capacity and capabilities. Now I'll provide some detail on each segment's results. In our Carbon segment, volumes fell more than the normal seasonal decline for third quarter sales due to lower demand from our contractual OEM customers, especially in the heavy equipment sector. Even with this decline, the carbon segment generated $4.5 million in EBITDA in the third quarter. We saw strength in our countercyclical end products companies with strong quarters from Metal Fab, our manufacturer of HVAC and venting products, and McCullough Industries, our manufacturer of industrial hoppers. We continue to see gains for our fabrication business as OEMs continue to outsource more of their first stages of manufacture. To serve this growing demand and improve the efficiency of our operations, we continue to invest in expanding our fabrication and processing capacity and capabilities. We have also aligned our fabrication-intensive facilities in Chambersburg, Pennsylvania, Mount Sterling, Kentucky, and Beaufort, Georgia under the leadership of Max Fitzgerald, who has a strong growth-oriented background in metal fabrication. Our carbon segment continues to invest in automation, installing new stacking and material handling equipment on our Cleveland, Ohio temper mill, which is expected to improve throughput by up to 30%. Our pipe and tube segment posted adjusted EBITDA of $6.7 million in the third quarter of 2024. Gross margins remained stronger and higher than previous years due to our value-added processing, which has been augmented by last year's acquisition of Central Tube and Bar. For our Specialty Metals segment, stainless surcharges fell to a three-and-a-half-year low in September. Nonetheless, the segment had a solid third quarter, contributing $5.9 million of EBITDA. We accomplished this by gaining market share in stainless and aluminum. We also installed a new automated packaging line in our Streetsboro, Ohio facility to improve throughput and efficiency. We remain committed to growing organically by investing in higher margin opportunities. During 2024, we have ordered significant new pieces of equipment that will be delivered in 2025 and 2026 to further enhance our growth strategies. In the carbon segment, we ordered a new cut-to-length line for our Minneapolis coiled facility, which will support our continued growth in cold rolling coated products. We have ordered two new lasers and two new plasma cutting machines along with an automated material handling system to expand our fabrication capabilities in Chambersburg, Pennsylvania. In the Specialty Metals segment, we have ordered a new cut-to-length line for our Schaumburg, Illinois facility to support our growing white metals distribution business, and we also ordered a new high-speed specialty slitter for our Berlin Metals operation outside of Gary, Indiana. As I reflect on the third quarter and look at the fourth quarter, we think that macroeconomic headwinds are likely to continue. At the same time, we are benefiting from our strategy to expand into steel-intensive end products that are countercyclical to metals pricing and invest in equipment that makes us more efficient and helps us grow our higher margin fabrication and processing capabilities. We will continue to focus on what we can control and be mindful of and responsive to the things that we cannot control. That concludes my comments, and I will turn the call over to Rich to go through the financials.
Richard Manson: Thank you, Andrew. As you heard from both Rick and Andrew, all three segments contributed to our profitability during the quarter. Our third quarter results reflect the impact of our diversification strategy and our team's continued execution of our operating disciplines. Before I discuss the results in more detail, I want to remind everyone that year-over-year comparisons are impacted by the October 2023 acquisition of Central Tube and Bar, whose results are included in our pipe and tube segment. For the third quarter, net income totaled $2.7 million compared with $12.2 million in the third quarter of 2023. EBITDA for the third quarter was $15 million compared with $27.1 million in the prior year period. Both the third quarter of 2024 and 2023 results include $2 million of LIFO pretax income. Consolidated operating expenses for the third quarter were $91 million compared with $91 million in the third quarter of 2023. Our third quarter operating expenses reflect the addition of Central Tube and Bar, which does not report tons sold. Therefore, operating expenses per ton at the consolidated level and for the pipe and tube segment will appear higher year-over-year. As a reminder, we do not report tons sold for McCullough Industries, Easy Dumper, Metal Fab, Shaw Stainless, or the entire pipe and tube segment. Consolidated operating expenses for the third quarter included $3.3 million of Central Tube and Bar operating expenses and $1.2 million of lower incentive expenses compared with the third quarter of 2023. Operating expenses for the third quarter of 2023 also reflect a $4 million cost benefit due to the employee retention credit that did not recur in the third quarter of 2024. We ended the quarter with total debt of $197 million, a $12 million decrease from the second quarter of 2024. We anticipate increased cash flow in the fourth quarter of 2024 due to lower working capital requirements. We continue to have access to more than $300 million of additional borrowing availability to support our investments and higher return opportunities. Our capital expenditures for the first three quarters of 2024 totaled $22.3 million compared with depreciation of $17.6 million. We estimate that 2024 capital expenditures will be approximately $30 million. We continue to invest in automation, our fabrication and processing capabilities, and other higher return parts of our business. Our third quarter 2024 effective income tax rate was 30%. We expect our 2024 tax rate to approximate 28% to 29%. In addition, we paid a quarterly dividend of $0.15 per share in the third quarter, and our board of directors has approved our next regular quarterly cash dividend of $0.15 per share, which is payable on December 16, 2024, to shareholders of record on December 2, 2024. The company has now paid regular quarterly dividends dating back to 2006. Our ability to remain resilient and profitable in difficult markets is a testament to the success of our strategic investments. We will continue to execute our diversification strategy for the long term while continuing our near-term focus on expense control and working capital management. We are well-positioned to weather market challenges. Operator, we are now ready for questions.
Operator: Thank you. We will now conduct a question and answer session. Our first question comes from Dave Storm with Stonegate. Please proceed.
Dave Storms: Good morning.
Andrew Greiff: Morning, Dave.
Dave Storms: So you mentioned in the prepared remarks that you are obviously doing a lot to bring new machinery into your operations. Just trying to get a sense of, and I appreciate you laying out kind of the lead times for getting those machines in-house. Just trying to get a sense of maybe what step two would be there, you know, between implementing those machines, getting employees trained up on them. How should we be thinking about what it will take to get those machines up and running once they are in-house?
Andrew Greiff: Dave, this is Andrew. I would tell you that from the equipment manufacturers, the training will take place in some cases prior to the equipment coming in. They have some facilities that we can send our people to that have the equipment available that they could do some training. But almost immediately, as the new equipment and the new automation comes in, we will have people that will be ready almost immediately. So once the equipment is in and ready to get going, we would expect that in a very short time period, it will be up in operation. Assuming the equipment performs the way we expect it to, we will get it right into place.
Dave Storms: Understood. That's very helpful. So we could hopefully start seeing some of that in 2025. Okay. Perfect. And then just one more for me. Great to see that you paid down some debt. I know you have obviously been acquisitive in the past. Are there any M&A targets that you are keeping your eye on? Maybe just a sense of what the market looks like and maybe your thinking about having any targets. Are you targeting more type companies that have been so beneficial for you recently?
Rick Marabito: Yeah. Thanks for the question, Dave. It's Rick. Absolutely. We're very active continuing to look at acquisitions. You know that it's part of our strategic growth is to actually do both. So Andrew outlined a lot of the internal growth through new equipment, but don't sell it short. We're actively pursuing acquisitions. So if you look at our history over the last five years, we've made six acquisitions. So we're averaging around one to a little more than one a year. It's been about a year. And so, you know, my line internally always is if we don't find an acquisition in our strike zone each year, I'd be disappointed. And I'd share that with you. So yes, very active. We've seen really good flow in terms of companies that would fit our strike zone. You are exactly right in terms of the strike zone. It's aside from being well-run companies where we believe we can add synergy, together with a management team that's strong and continues. You know that we've shown and will continue to seek out companies that are, A, in the end market, countercyclical, category and industries. So that's very much at the top of the list. B, those that do higher margin, higher returns fabrication, that's very high on the list. And service centers. Right? You've seen the last acquisition we did with CTB in the pipe and tube sector of the service center group. So we're looking at all three of those areas. And, really, the keys are finding well-run, high return accretive, good companies. And so, you know, stay tuned. More to come. We're actively participating in that space.
Dave Storms: Understood. Thank you for taking my questions, and good luck in the fourth quarter.
Richard Manson: Thanks, Dave.
Operator: The next question comes from Samuel McKinney with KeyBanc Capital Markets. Please proceed.
Samuel McKinney: Hi. Good morning, guys.
Rick Marabito: Hey, Sam.
Andrew Greiff: Hey, Sam.
Samuel McKinney: The continued demand weakness from industrial machinery and equipment OEMs, some of your peers have already spoken to it, and you talked about it today with seasonally soft third quarter volumes. Any thoughts regarding the potential for a relief of pent-up demand after we hopefully get past the election next week and gain some clarity on the next four years?
Andrew Greiff: Yeah. Sam, that's a great question. We do think that there is some pent-up demand certainly on the spot side of the business. With the industrial OEMs, I'm not sure that we're going to see any big releases in the fourth quarter. I don't think we're gonna see much of a trail off like we did from in the third quarter versus the second quarter. But I do think that there's opportunity certainly in the fourth quarter for a number of the spot players and those non-contractual customers to be more active than, certainly, than they had been. And I think going into next year, while you know, they're still in their forecasting phase. I don't anticipate that we're going to see greater reductions from the heavy-duty equipment sector versus what we've seen at this point.
Rick Marabito: Yeah. And then, Sam, it's Rick. The other thing I'd add is we've been really expanding our business. So I think offsetting any kind of, as Andrew said, I'd call it kind of steadiness off of a kind of a down demand period in the last quarter. I think you'll see Olympic Steel actually onboarding new business. We've been very active on the fabrication side with some of the large OEMs. So going into next year, you know, our view is even if we have kind of stable demand from some of these larger OEMs in the heavy equipment sector, I think we've got the opportunity to increase our business.
Samuel McKinney: Okay. Thanks. That's helpful. I appreciate that. In the next pipe and tube gross margin of 35% this quarter was the segment's best number of the year. But sales have fallen almost 10% sequentially in both the second and third quarter. So a two-part question here. Can you address how segment volumes behave during the third quarter? And then of that $79 million in sales in the third quarter, any way to frame up how much of that's coming from the higher margin Central Tub and Bar?
Richard Manson: Hey, Sam. It's Rich. Let me address the gross margin first. So remember, that gross margin includes $2 million of LIFO income. And so that 35% is a LIFO number. I think when you take that out, you're pretty much back to the traditional low thirties that we've seen most of this year. I'll let Andrew address the question in terms of the fall off is basically the same industrial customers that we just talked about.
Andrew Greiff: Well, that's exactly right, Rich. So the number of the customers that we talked about on the sheet and the fabrication side for carbon flat roll is very similar to what we see on the pipe and tube side. Regarding Central Tube, we've been very pleased with what we've seen. A big part of what Central Tube does is fabrication for the OEM. And so we are pleased to see the business there. There's a good focus on data centers. And so we really like that business and expect to see continued progress in the fourth quarter and then certainly into next year.
Richard Manson: And then, Sam, with respect to the value added, I think our pipe and tube segment is north of 40% in terms of value added versus the distribution business.
Rick Marabito: And then lastly, Sam, I think part of your question was on the CTB margins. And, yes, you are correct. CTB's margins are north of our existing pipe and tube business, which as you know and commented on are very strong margins. So and we see that continuing.
Samuel McKinney: Okay. Thank you. And then one last one for me. If Nippon is able to close on its acquisition of US Steel, what do you think changes both in the marketplace and for Olympic specifically? And remind me, do you have any colocated facilities with US Steel right now?
Andrew Greiff: Yes. Sam. We do. Our Gary facility in Gary, Indiana is on-site at US Steel. We have great relationships with all of the vendors, including the two you mentioned. So I think for Olympic Steel, you know, obviously, whichever way this deal goes, we would anticipate continuing to be a really good supplier of whoever the future owner is, whether it continues to be US Steel or it continues to be Nippon.
Samuel McKinney: Alright. Guys. Good luck in the fourth quarter.
Rick Marabito: Thanks, Sam.
Operator: Our next question comes from Chris Sakai with Singular Research. Please proceed.
Chris Sakai: Yes. Hi. Good morning.
Rick Marabito: Morning, Chris.
Chris Sakai: My question is that for carbon flat operating expenses, are a lot of these fixed expenses that you cannot change or what can be done to reduce operating expenses?
Richard Manson: Yeah, Chris. So a couple things. So when you look at the face of the operating expenses, year over year, it looked like an $8 million increase, but there's really two items that make up almost the entire $8 million. One being that there was a $4 million reduction in operating expenses in the third quarter of 2023 related to the employee retention credit that didn't occur in 2024. And then we have about $3.3 million of Central Tube and Bar operating expenses in the third quarter of 2024 that were not there in 2023. So, you know, overall, we're kind of flattish in volume in those operating expenses. When you adjust for the one-time items, they are essentially flattish. You know, one of the things we have seen here in the third quarter, as Andrew noted, we're a little bit slower with some of the industrial OEMs. And in some cases, we've reduced or taken out some second shifts in those areas where the sales were down a little bit. Now most of that was not reflected in the third quarter, but we do expect to see that reflected in the fourth quarter when, you know, once you take out severance and all those kinds of things for some of the people where the headcount was reduced.
Rick Marabito: Yeah. And the other thing I'd add, Chris, on the fixed versus variable, we talk about it a lot. We disclose it in our SEC documents, but we also have, in terms of our incentives, they're highly variable and they do mirror profitability. So those things tend to, on the compensation side, also automatically adjust with the profitability up and down. So I'd add that as well.
Chris Sakai: Okay. Thanks. And then it sounds like you're doing a lot of internal investments. Is the main goal here to really increase profitability, is that the main understanding?
Rick Marabito: Well, obviously, yes. We believe those investments in terms of the return are smart moves. But in addition to the increased profitability, they also enhance our quality, safety, increase productivity, and expand our capacity on those pieces of equipment, so they open up those pieces of equipment to do new business. Some of the new business is in areas that we're growing, like coated product and carbon. So it's really all that. But I think you know from following us, we're also sticklers on the profitability side in terms of justification. So it's all of that. And, yes, that obviously is going to lead to improved returns in those areas.
Chris Sakai: Okay. Great. Thanks for the answers.
Richard Manson: Thanks, Chris.
Operator: Thank you. There are no further questions in queue at this time. I would like to turn the floor back over to Richard Mirabito for closing remarks.
Rick Marabito: Thank you very much, operator. And thank you all for joining us on our call today. We genuinely appreciate your continued interest in Olympic Steel, and we look forward to speaking with you again next quarter. Thank you. Have a great day, everyone.
Operator: Thank you. This does conclude today's teleconference. You may disconnect your lines at this time.